Operator: Good morning, and welcome to the Emerson Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Colleen Mettler. Please, go ahead.
Colleen Mettler: Thank you, and good morning. Thank you for joining Emerson's third quarter fiscal 2022 earnings conference call. Today, I am joined by President and Chief Executive Officer, Lal Karsanbhai; Chief Financial Officer, Frank Dellaquila; and Chief Operating Officer, Ram Krishnan. As always, I encourage everyone to follow along with the slide presentation, which is available on our website. Please join me on Slide 2. This presentation may include forward-looking statements, which contain a degree of business risks and uncertainties. Please take time to read the safe harbor statement and note on the non-GAAP measures. I will now pass the call over to Emerson's President and CEO, Lal Karsanbhai, for opening remarks. 
Lal Karsanbhai : Thank you, Colleen, and good morning, everyone. I'd like to begin by thanking the nearly 90,000 Emerson employees around the world for their tremendous effort, passion and commitment to deliver the solid results we will speak about today. Over the past four months, I've had the opportunity to travel to several U. S. sites, including Houston, Chicago, Ohio and Pittsburgh as well as visiting investors, customers and our teams in Germany, Denmark, Brazil and Mexico. I have to be honest, there is no substitute for being with our teams in person. I'm looking forward to this month's trips to India and Singapore. And I'd also like to thank our Board of Directors for their support and our shareholders for your trust in us. As an organization, we continue to make significant progress on all of our strategic imperatives aimed to accelerate value creation, culture, portfolio and execution. Our culture evolution continues in earnest. We are launching our efforts with new listening tools, a modernized employee value proposition and a new reinvigorated talent engine. To this end, on August 1, we hired our first Vice President of Culture, [Kelly Clark], who joins our company at a crucial point in time and brings unparalleled experience and cultural transformation. Turning to Slide 3. Emerson's portfolio transformation is well underway. And in the quarter, we made significant progress to create a higher growth, more diversified cohesive portfolio. We took five important steps: Number 1, on May 16, we closed the AspenTech transaction. We are very excited about the synergy opportunities, which are sized at $160 million in the funnel and the projects won to date; Number 2, AspenTech announced an agreement to acquire Micromine, the first transaction under the new structure. Micromine is an Australian-based exploration to optimization software offering, well positioned to benefit from the minerals required to fuel the renewable revolution; Number 3, we announced and closed the acquisition of Fluxa, a critical life science process knowledge business, highly synergistic with our industry-leading DeltaV system; Number 4, on May 31, we closed the TOD sale; and last, 5, yesterday, we announced the sale of InSinkErator to Whirlpool Corporation for $3 billion or an 18.1 multiple of adjusted EBITDA.  Prior to turning to Slide 4, allow me to say a few words about our execution. This was a solid quarter, and I feel incredibly positive as we go into the fourth and into 2023. June trailing three-month underlying orders were plus 10%, driven by Automation Solutions at plus 13%. Third quarter underlying sales grew 7%, driven by the Americas, which grew 14%. This performance occurred despite lockdowns in Shanghai, which impacted six plants for two months and continued challenges with electronics availability. Together, the two factors resulted in a $180 million sales impact in the quarter or 5 points to the Automation Solutions segment sales. Adjusted EBITDA improved 20 basis points with improvement in both platforms. Operating leverage in the quarter was 27%, and we are well on track to exceed our 30% target for 2022. Adjusted EPS was $1.38, including $0.08 contribution from AspenTech. Although free cash flow conversion in the quarter was 100% adjusted for non-operating and onetime items. Operating cash flow was down driven by working capital investments in inventory and receivables. Let's now turn to Slide 4, please. In addition to the portfolio, Emerson has also made tangible steps in our ESG journey. Recently, we have established a target to reach net zero greenhouse gas emissions across our value chain by 2045. In the near term, our objective is to reach net zero in our operations and reduced our Scope 3 emissions 25% by 2030. Our 2021 ESG report, which can be found on emerson.com, includes more detail on our target, which is aligned with the net zero standard set by the science-based target initiative. Our goals are bold, and we have incredible credible road maps that include many of the solutions, technologies and expertise we offer our customers and the critical industries we serve. Please turn to Slide 5. I am particularly excited about the opportunities in the renewable space. As I said, our portfolio is broadly relevant as an enabling technology across a broad segment of the world's economy. This includes electrification efforts such as heat pumps as well as sustainability -- a strong sustainability funnel in Automation Solutions that has grown to $1.5 billion, inclusive of decarbonization, energy efficiency, emissions management and new energy investments in wind, hydro, solar and hydrogen. I'll share a few examples on this slide. First, starting on the left. Emerson was recently selected at Mitsubishi Power to automate the world's largest green hydrogen production and storage facility. The Advanced Clean Energy System hub will convert renewable energy into storable hydrogen, which can subsequently be dispatched and converted to electricity when required. Emerson Automation and Software Solutions were selected based on industry expertise in our leading digital portfolio. This is a first-in-kind facility, and we'll be capable of producing 100 tons of green hydrogen per day for storage capacity for 300 gigawatt hours of energy. That's equivalent to 150x the current lithium battery storage in the United States. Next, in the middle, along with Neste Engineering Solutions, we were chosen to provide automation technologies and software to Fintoil for the world's third largest tall oil biorefinery. The advanced biofuel and biochemical facility will refine a byproduct of the wood pulping process to produce sustainable feedstock for biofuels, chemicals and pharmaceuticals. The expected annual capacity of 200,000 tons will create a 400,000-ton reduction in carbon emissions. That represents roughly 1% of Finland's total emissions. Lastly, Emerson was selected by Albioma, a French energy provider to enable the transition of its flagship coal-fired Bois Rouge plant to 100% renewable energy. Emerson's automation system and software will help convert the existing coal-fired power plant controls to utilize biomass feedstock. In doing so, this project will result in a 640,000 ton reduction in carbon emissions, part of Albioma's plan to reach almost 100% renewable energy by 2030. These projects and our net zero targets represent our continued progress in our greening up and green by framework that Mike Train has introduced. And lastly, before I turn it over to Frank, on Slide 6, I'd like to highlight a few exciting investments we've made in operations around the world. Our regionalization strategy and operational excellence served us well through the pandemic and in the current challenging supply chain environment. We continue to drive operational excellence with investments like the three shown here. Starting on the left. Earlier this month, Emerson officially opened our officially opened our new professional tools facility in Ash Flat, Arkansas. This is a 277, 000 square foot facility, which will be used mainly for our Greenlee tools for electrical applications across North America. It currently employs 150 employees, and we will double the employment over the next four years. I'm very excited about this investment, and we were honored to have Governor Asa Hutchinson, join us for the ribbon cutting. Next, in the middle, Emerson recently opened its Mahindra City Chennai, India facility for fluid control and pneumatics. This is a 145,000 square foot facility which will help serve process, hybrid and discrete customers in India and surrounding Asian countries. And then lastly, we introduced a new Saltillo, Mexico manufacturing facility for our specialty valve technologies, assemblies and actuators using life sciences, metals and mining and other key industries. As with all these facilities, Saltillo will use state-of-the-art factory automation capabilities, environmental designs and include our own Emerson technology. As we close out 2022, I feel extremely positive about where we are as a business and where we are going. Our goal is accelerated value creation and we are executing on all the critical dimensions. With that, I will now pass the call over to Frank Dellaquila, who'll go through our detailed financial results in the third quarter.
Frank Dellaquila: Thank you, Lal, and good morning, everyone. If you would please turn to Slide 8. Before I comment on the third quarter, I'd like to take a minute to ground everyone on three significant events that affected the reported results. First, on May 16, Emerson completed its transaction with AspenTech. We contributed our two software businesses, OSI and GSS, to AspenTech in addition to $6 billion in cash in exchange for a 55% ownership position in the new AspenTech. Please note that GSS has been renamed to Subsurface Science & Engineering or SSE for short. OSI and SSE, which were previously reported in our Automation Solutions platform have now been moved to a newly created reporting segment within Emerson called AspenTech. For accounting purposes, our contributed businesses will the acquiring entity. Therefore, our third quarter is the sum of our contributed businesses for the entire quarter and heritage AspenTech results from the May 16 closing date. Stated simply, our third quarter results include a full quarter of our contributed businesses and approximately 45 days of heritage AspenTech. As a result, year-over-year comparisons are not meaningful as the prior year includes only our contributed businesses. I encourage you to review the slides Colleen and her team have included in the appendix, which show the details of the sales by quarter and map the AspenTech financial results into our financials. As a reminder, AspenTech's results are fully consolidated with Emerson line by line with the 45% non-controlling interest deducted from earnings used to calculate earnings per share and reflected in a single line in the equity section of the balance sheet. And finally, on that subject, our contributed businesses are no longer included in our usual metrics for Automation Solutions. The second significant item is the Therm-O-Disc divestiture, which was previously reported in Commercial & Residential Solutions. The transaction closed on May 31 and the business is no longer included in underlying orders, underlying sales or backlog calculations. We reported a $428 million after-tax gain equivalent to $0.72. And finally, we announced on the May call our decision to exit Russia. At that time, we absorbed several cents operationally within the guidance that we gave. This quarter, we are reporting a $162 million charge which is a $0.29 earnings per share impact, and we are debooking $132 million of orders that will not be converted to sales. The impact of the TOD gain and the Russia related charge will be removed from adjusted earnings. So with that background, if you would please turn to Slide 9, and we'll talk about the quarter. As Lal said, we believe we had a very good quarter. There are operations challenges we could not anticipate or building to the guide, but looking through them, we are very pleased with the underlying operational performance and we believe we can deliver results for 2022 that are in the range of what we told you in May with the exception of cash flow. Demand continued to be strong and broad-based and consistent with our previous comments around our key end markets. We missed the underlying sales guidance entirely due to the extended lockdown in Shanghai and some continued challenges around electronic components, neither of which we expected when we guided in May. Together, we estimate these two headwinds reduced sales by about $180 million in the quarter, which equates to 4 points of growth for total Emerson, and we estimate that the leverage on those sales was about 40%. Our guide for the balance of the year incorporates our expectation that our manufacturing capability in China and our component availability will support our sales plan for the remainder of the year, and Ram will talk about both of these subjects in more detail in a few minutes. As a result, underlying sales were 7% falling short of our third quarter guidance by 3 points at the midpoint. There's a lot of good news within these numbers. The business has implemented the planned pricing actions realizing 6 points of price overall and price less net material inflation significantly improved versus our prior quarters according to the plan. Adjusted segment EBITDA improved 170 basis points, driven mainly by the addition of AspenTech, which added 150 basis points. Operations improved 20 basis points, as Lal mentioned, despite the $180 million of missed sales and the deleverage on them as price realization and ongoing cost containment measures more than offset elevated inflationary pressures from wages and freight. Adjusted earnings per share was $1.38, up 16% versus prior year, and that includes $0.08 from the AspenTech segment, and I will provide details in a moment. Free cash flow was down 36% versus prior year mainly due to higher working capital from increased sales and continued supply chain constraints that cause more investment in inventory than we would have expected. In May, we reduced our cash flow guidance modestly with the expectation that the balance sheet release of working capital would occur during this fiscal year, but the continued operational challenges pushed this release in our estimation into 2023. Nonetheless, free cash flow conversion was 90% in the third quarter, excluding the non-operating items from net income, specifically, the TOD gain and adding back the impact to net earnings of the Russia exit write-offs. Turning to the business results. Automation Solutions underlying sales were up 4%, and as Lal said, up significantly more, another 5 points of growth if we were to adjust for the loss of the sales in China and due to the supply chain disruptions. Process hybrid and discrete sales were all up, led by energy, chemical and power and renewables segments. Sales in the Americas were up double digits, while Europe mainly due to Russia and Asia mainly due to the Shanghai lockdowns were down year-over-year. Price realized in the third quarter was 3%, driven by programs instituted earlier in the year and accelerated last quarter to address sustained electronics inflation and continued wage and freight increases. Backlog increased by $100 million in the quarter to $6.2 billion. This elevated level of backlog will support our sales plan for the fourth quarter and into 2023. As I said at the beginning, backlog has been revised to reflect $132 million e-booking in Russia and removal of the businesses contributed to AspenTech. Automation Solutions adjusted EBITDA improved 70 basis points versus the prior year due to price, leverage, favorable mix and cost controls despite the lower-than-anticipated sales volume. Turning to Commercial & Residential Solutions. The business continues to grow strongly, up double digits. Underlying sales increased 13%, including 12 points of price realization. Sales were up in all world areas, except China due to the COVID-19 lockdowns and softening demand. As we expected, Climate Technologies aftermarket and commercial strength offset moderating demand in the residential portion of the business. In Tools & Home Products, non-residential project activity remains strong. However, weakness in the retail segments continues. Backlog was flat in the quarter at $1.3 billion, after removing the impact of the divested Therm-O Disc business. Adjusted EBITDA for the platform was down 50 basis points, consistent with our expectations for the quarter. Within that, Climate Tech was approximately flat as 9 points of price realization and ongoing cost reductions drove a significant improvement in sequential leverage and profit margin for that segment.  The AspenTech segment contributed $239 million of sales at nearly 54% adjusted EBITDA. Once again, these sales represent a full quarter of results from Emerson's contributed businesses in addition to heritage AspenTech from the May 16 closing date through the end of the quarter. The heritage AspenTech sales for the period covered the second half of AspenTech's fourth fiscal quarter and reflect strong revenue growth based on normal seasonality in the business and the applicable revenue recognition rules for software sales. Together, we're off to a great start and we look forward to driving the synergies we identified and the diversification that we envisioned for our combined businesses. If you would, please turn to Page 10 for the EPS walk. As I said, adjusted EPS was $1.38, up 16%. There are several non-operating balance sheet items that net out to $0.02, notably stock compensation. We still have two plants that are on a mark-to-market and they were a significant favorable item in the quarter. Automation Solutions and Commercial residential operations leveraged at nearly 30% and contributed $0.09 to adjusted earnings per share versus prior year. AspenTech contributed $0.08 and driven by the strong fourth quarter in the heritage business, net of $0.01 of interest expense attributable to the transaction. We continue to deal with various operational challenges, returning to supply chain, logistics and labor. I'm going to hand off to Ram to comment on these issues as they affected the quarter and how we think we can navigate them for the balance of the year.
Ram Krishnan: Thank you, Frank. Please turn to Slide 11. Consistent with previous quarters, the operating environment remained challenging in the third quarter, especially in terms of electronic component availability and the impact of the China COVID-19 lockdowns, which lasted much longer than we anticipated going into the quarter. Starting with the positives. Freight and labor costs and commodity prices are all trending in the right direction and provided some relief to the overall environment. Labor, which is primarily an issue for us in our Midwestern U.S. plants has improved from the winter months and the COVID-related challenges we have experienced. And commodity prices, mainly steel, copper and plastic resins have all continued to decline as we had anticipated. However, the two most impactful items in the quarter were the extended China lockdowns and the electronic component shortages. As we discussed in May, our expectation was China would begin reopening in the middle of May with full operation near the end of the month. As it played out, reopening was delayed until the end of May with full operation not until early June.  During this time, we did not expect our employees to work in closed loop operations, which would have required extended overnight stays in our factories. Therefore, we had little to no operation during the lockdowns. This delay in reopening represented roughly $100 million in lost sales in the quarter, primarily from our six manufacturing plants in the Shanghai area. We expect most of these sales to be made up in the fourth quarter. The China lockdowns and other supply constraints contributed to further electronic component availability issues. While lead times remain stable at elevated levels, capacity challenges at our critical suppliers led to more decommits in the quarter, and we were forced to go to the open market to procure components more than we had anticipated. This drove elevated purchase price variances and challenges in converting our backlog to sales, leading to an $80 million sales miss in the quarter, primarily in Automation Solutions. Six critical suppliers for us account for about 90% of the component shortages we experienced in the quarter. Our supply chain teams have stabilized the situation growing into the fourth quarter using a structured approach to expedite, participating in supply assurance programs and driving purposeful executive engagement with these critical supplies shoring up what is necessary for the end of the year. Finally, our global operations and supply chain teams continue to do an outstanding job, effectively managing the ever-changing landscape, allowing us to execute successfully for our customers. I will now turn the call back over to Frank to take us through the '22 outlook.
Frank Dellaquila: Okay. Thank you, Ram. If you would, please turn to Slide 13. As we look towards the rest of the year and into 2023, demand continues to be strong with Emerson trailing three-month underlying orders up double digits versus prior year. June trailing three-month orders for Automation Solutions were up 13% versus prior year, indicative of broad continued strength across the business. Sustainability, decarbonization factory automation, modernizations and reshoring secular trends continue to drive investment decisions in key industries. We expect growth to continue in key process end markets like energy, chemicals and power and renewables and also expect favorable conditions in the life sciences and metals and mining markets, all of which will support growth into 2023. In Commercial & Residential Solutions, June trailing three-month orders were up 5%, led by Climate Technologies, which was up 9%. Commercial, industrial, food, retail and other non-residential end markets remain strong as project activity continues. Residential Climate business is showing some signs of moderation as we've expected and communicated, while our residential tools and home products business continues to soften as we first mentioned during the May call. This can be seen in the retail data, inflation weakens demand in the housing-related and home improvement markets. Aftermarket sales remained strong due to record high temperatures globally and the European heat pump market is propelled by energy efficiency imperatives as well as the unusually warm weather as well in Europe. You would please turn to Slide 14. We'll talk about the guidance update. So the revised guidance considers the continued robust underlying demand and balances it with the impact of the third quarter headwinds that we experienced. Emerson's underlying sales guidance has been moved to the low end of the range, updated to remove Therm-O Disc and to remove the businesses that we contributed to AspenTech as part of the transaction as well as the continued supply chain constraints that Ram mentioned. Automation Solutions 2022 underlying sales growth is now expected to be between 6% and 7%. We reduced the range modestly again to remove the businesses contribute to AspenTech and to recognize the third quarter impact of the ongoing challenges of supply chain constraints, principally in electronics. As Ram said, the China sales miss is expected to be recovered, but the challenges with electronics will extend beyond the end of the fiscal year. Recalibration of the sales outlook is based on our projected ability to convert orders along with the strong underlying demand backdrop, both of which should be supportive going into 2023. In Commercial & Residential Solutions, we have raised the bottom end of the guide to reflect our confidence in the outlook for the balance of the year. The guide reflects continued strong price realization across the platform. The fourth quarter is expected to be strong for both platforms, Automation Solutions and Commercial & Residential Solutions supported by the solid demand and the record backlog. Inflationary pressures remain, but our pricing actions are expected to more than offset net material and other inflation. The guidance assumes no further impact on production of COVID-19-related lockdowns in China. And as Ram described, we believe we have secured adequate electronics supply to deliver the sales guide for the year. Regarding the AspenTech impact on the guide, heritage AspenTech's fiscal fourth quarter which was included in our fiscal third quarter is its seasonally strongest quarter due to the timing of contract renewals and the revenue recognition rules that apply. Therefore, we expect AspenTech's contribution to revenue and earnings to be a bit lower in our Q4. The business continues to drive the synergy plan, and there is active joint project engagement between the two companies. AspenTech solutions simultaneously help customers meet sustainability and operational excellence targets, which are top investment priorities for both their customers and Emerson's traditional customers. Our combined product portfolio is well positioned to be the digital partner for process and hybrid end users. We've updated the net sales guidance to account for the AspenTech transaction by 1 to 2 points and the incremental FX impact, which is now a 2 to 3 point headwind as well as the Therm-O-Disc divestiture. The InSinkErator transaction will close after the fiscal year, it has no impact on the 2022 guide. Share repurchase is expected to be $500 million. There's no change to the tax rate and dividend assumptions that we gave in the May guide. We have reduced the operating cash flow guide to $3 billion reflecting the balance sheet impact of the operational issues that we're seeing. CapEx has reduced to approximately $525 million. Free cash flow has been updated to $2.5 billion accordingly. After removing the impact of the three significant non-operating items, the former is divestiture gain the Russia exited in the third quarter and the significant further gain that we had in the first quarter, our free cash flow conversion for the year will be nearly 100%. We still expect total segment operating leverage to be in the 30% range, as we have said all year, and as we have said in previous calls. EPS is expected to be between $5.25 and $5.35 and adjusted EPS is now expected to be $5.05 to $5.15. Please turn to Slide 15 for the EPS walk. Starting on the upper left, the May guide for GAAP EPS was $4.77 to $4.92 due to the revised sales look for Automation Solutions and the TOD divestiture we’re lowering the top end of the guide by $0.05. The $428 million after-tax gain on the TOD divestiture and the Russia charge are now incorporated into the guide. The revised EPS guide on a comparable basis to May is $5.20 to $5.30. AspenTech adds $0.13 operationally, partially offset by $0.08 of net intangibles amortization that results from the purchase accounting on the transaction. So the resulting revised GAAP guide for EPS is $5.25 to $5.35. The right side of the chart walks the May adjusted EPS guide to the current guide. The guide was $4.95 to $5.10. We have the same $0.05 operational-related reduction, AspenTech operations at $0.13, in this case, offset by $0.03 of interest expense on debt that is attributable to the transaction. So the new guide is $5.05 to $5.15. For your reference, I won't go through it, but on the next slide, there is a bridge from GAAP to adjusted EPS for the fiscal year. The customary adjustment items are there along with the three unique items that I've discussed. So before turning to the Q&A, again, I would encourage you to review the slides in the appendix that we've included that explain some of the accounting details of the AspenTech transaction. With that, thank you for your attention, and we will open it up for Q&A.
Operator: [Operator Instructions] The first question comes from Andrew Obin with Bank of America.
Andrew Obin : Lal, Ram, Frank, Colleen, good morning to all of you. Just I guess my first question is going to be about Aspen. One of the things that Aspen has is this incredible rolodex of clients. Can you just talk about if you have had any interaction with some of their customers on the hardware and system side? And if you could talk about any sort of early success in terms of engaging some of Aspen's customers on the Emerson side?
Lal Karsanbhai : Yes. Andrew, thank you. This is Lal. Sure. Look, we have a very active project funnel to begin with, and we worked very closely in conjunction with on world area selling organization and the AspenTech channel. It's sized at $160 million today, and it's balanced in three ways: by world area, by industry and by the technology. We've won to date slightly over $6 million of synergy projects, that’s AspenTech into traditional Emerson customers, and Emerson into traditional AspenTech customers. So it's growing. And there's line of sight for another, I would suggest $10 million or so this fiscal year, depending on how things move over the next quarter. We have been awarded but not booked a very large projects as well that size that $40 million with a full automation suite and AspenTech in addition. So there's a lot of commercial activity. We have individuals at both AspenTech and Emerson that are responsible for delivering the synergy value and a lot of engagement. Just one last anecdote, Andrew, last week, I met with the CEO of Ascend Chemical, who is not just a very strong DeltaV customer but a very loyal AspenTech customer and again, spent time with Phil McDivid simply to lay out to the opportunities that we have as an organization as they digitize their plants and move to a top quartile performance. So a lot of great activity working at many different levels across the organization. and very excited about the synergies.
Andrew Obin : And just a follow-up question. I think before you sort of talked about potential visibility on capacity coming, I think, particularly in North America, but maybe some worldwide as well. I'm talking specifically about semiconductors because we know that sort of talking to chip brokers, industrial chips are still in very, very short [indiscernible], how has this visibility evolved over the past quarter? Has this moved out to the right? Are there delays in terms of this capacity coming on? Or do you still feel confident that this capacity started to come online late this calendar year, early next year?
Ram Krishnan : Yes, Andrew, Ram here. In terms of capacity coming online, we've really worked with our top 6 suppliers, and we have a very good understanding of how this capacity will come online late '23 and into '24. TI as an example, two particular facilities, one in Lehi, Utah and the other in Richardson, Texas, where we buy a lot of our components from that capacity expansion is expected to come online somewhere in the next six to 12 months. At this point, on track. But frankly, the challenge is that most of our suppliers are seeing is equipment that they will need to bring this capacity online is getting delayed. But at this point, at least as it relates to capacity specific to Emerson, I think we feel pretty good that this capacity will come online late '23 and into '24, which was the plan. 
Operator: The next question comes from John Walsh with Credit Suisse.
John Walsh : Just wanted to follow up on kind of how we should think about the incremental leverage here in the fourth quarter. I mean, I know you kind of talked about that 30% target. But I guess, the first half of the year, Auto Sol's running much higher. You obviously had the China disruptions in this quarter. Those reverse kind of any more granularity you can give us there on how you expect that business to leverage in the fourth fiscal quarter? 
Lal Karsanbhai: Look, I think, John, good question. Embedded in our guide is an assumption for -- if you just back into it about 32% operating leverage in Q4 for Emerson as a whole. That's of approximately 27% in Q3, up to 32%, I believe, in Q4, a little higher perhaps. So we feel really good about how the businesses are executing and the conversion. Obviously, we're working off a very attractive cost structure in automation, which should benefit us as we go through the quarter. Go ahead, Frank. 
Frank Dellaquila : John, yes, just to add just a little bit more to that. The Automation Solutions leverage in the first half, as you said, was very strong. We said it would normalize in the second half of the year, and it will, but it will be very strong for the full year off kind of a normalized level in the fourth quarter. And then in Commercial Residential Solution, the leverage is accelerating as the price actions kick in, which is what we said. Second half would be stronger sequentially, both from a margin and a leverage standpoint, and that's exactly what we're seeing.
Lal Karsanbhai : And just to stand correct, the 32% leverage would be the full year calculation, 35% approximately in Q4. Sorry, John.
John Walsh : Great. No, that's super helpful. And then obviously, congrats on announcing the transaction around InSinkErator Just curious if you can give us any more granularity on the timing if it might be able to get done by this calendar year just based on some things whirlpool set? And then just any more color on when that business will either go disc ops or if it will just get taken out of the business once it's sold?
Frank Dellaquila : Yes. John, this is Frank. In terms of the timing, we and Whirlpool, both hope it will close as soon as we possibly can, but it's subject to the normal regulatory approvals. So I would expect it will be some time early in 2023, but we just don't know at this point.  In terms of the disc ops, we're looking at that, we may not at that point clear the bar for disc ops. Although it's a very significant business to us, may not be big enough to qualify for disc ops treatment. So at this point, I would expect not, but we're going to revisit that. 
Operator: Our next question comes from Andy Kaplowitz with Citigroup.
Andy Kaplowitz: Well, so several of your peers saw a relatively big step back in growth in China towards the end of the quarter. Did you see anything like that? And could you update us on what you're seeing on the ground now in China? How much electronic related or lockdown-related headwind, if any, are you baking into Q4? And then just thinking with the regional focus, how are you thinking about the resiliency of your European business?
Lal Karsanbhai: Sure. Good question. Yes, obviously, the quarter was challenging in China for us. The lockdown had a significant impact in both demand and execution. And that was reflected in the sales results that we shared with you. Having said that, we rebounded very aggressively in the month of June in terms of economic activity, and that has continued through early part of this quarter as well. So I am relatively optimistic about particularly the Automation segment, which had been on a very significant run in China that, that continues as we go through Q4. There is a very attractive funnel of projects in China, driven by availability of for lack of a better term, cheap Russian oil and gas coming into the country and investments into sustainability and renewables that are also being driven, including, I think, [John], the largest electrolyzer project in the world is actually in China. In terms of Europe, look, our Western European performance was actually quite positive through the quarter. We obviously had -- it was offset by Russia and parts of former Soviet Union that were impacted, obviously, during the war. But the Western European climate continues to be relatively resilient with growth in the quarter and expect the growth as we go into Q4.
Andy Kaplowitz : And Lal, can you give us more color into how you're thinking about Commercial & Residential Solutions going forward? I know order growth actually improved a bit in June, which I assume is easier comps, but comps do continue to get easier. So could you continue to see steady or even improving order growth in the business? And then I know you've been relatively cautious on residential HVAC. And I think Frank mentioned some continued growing in that market for given the pun, but has that market continue to be a little better than your expectations?
Lal Karsanbhai: There is no doubt that the market has been better than expectations, John. I think if you went back to when we first talked at the beginning of the year, we expected that orders to moderate significantly. In climate, that hasn't occurred to the pace that we expected. So that's a pleasant surprise. There's a lot of resiliency with upcoming changes in regulations that are driving now investments in this space as well. So I feel better than I did at the beginning of the year, and there's a proven resiliency there across all segments of the business, of course, watching the residential demand very, very carefully. 
Operator: Our next question comes from Steve Tusa with JPMorgan.
Steve Tusa : Can you just give us an update on where you stand on price/cost? And then how that plays through for the year, just in your updated guide?
Frank Dellaquila : Yes. Steve, this is Frank. So on the last call, we talked about broadening the definition of price/cost to include material and wage -- I'm sorry, in addition to net material inflation to include wage and freight. And we said that we would basically implement enough price in the third quarter to cover everything that we're seeing, and we did. We covered it and then some in the third. So we turned that returned favorable and we expect to be more favorable in the fourth quarter as we work through this. The pricing actions are being delivered as planned, and we're seeing some moderation in the NMI, the net material inflation, as well as kind of a leveling off in the wage and freight inflation as well at somewhat elevated levels, but it's not continuing to accelerate. So the overall price, less material, wage, freight inflation in the equation is improving as we go through the year.
Steve Tusa : Great. And then just 1 kind of nitpicky one on corporate was a lot lower than we were expecting. What's the guidance on corporate for the year? I guess there's some stock comp influence in there that you have. Is there any carryover into next year? Or is there something going on there with regards to the Aspen reporting. I don't think it's Aspen, maybe it's the stock comp stuff.
Frank Dellaquila : No, it's not. I mean it's -- there were some one-timers in there last year, but I mean it's essentially the significant move to the stock comp in the quarter. We still have 2 of the 3 outstanding LTI programs that are mark-to-market. So that when the stock price went down temporarily, there was a significant mark-to-market on that. So no, there's nothing unusual going on in corporate other than the volatility that gets introduced by that mark-to-market.
Operator: Our next question comes from Josh Pokrzywinski with Morgan Stanley.
Josh Pokrzywinski : So maybe just to start us off, while on kind of the totality of the funnel, obviously, a lot of things have changed from especially the process world over the past, call it, six months. Obviously takes a while to book some of that stuff out. Any kind of dimensioning that you would use on funnel size and where you're seeing the lowest activity build maybe over the last three to six months? Europe sort of comes to mind first and foremost. I know you talked about that, but maybe more broadly as well. 
Lal Karsanbhai: Yes. No, I'll be happy to. So the total project funnel is sized at $6.8 billion. That consists of about 440 projects between now and at the end of 2024. So that's kind of the visibility that we have today. As you're absolutely right, there was a lot of movement within the funnel as we went through the quarter, including projects that were booked, projects that were added. And then, almost $0.5 billion of projects value that we removed from the funnel, about 13 projects. The majority of which were impacted in Russia with a Baltic Chemical Complex and a Baltic LNG project that were in the funnel. So those are the big removals. But in terms of the project basically funnel size, essentially flat, but what did get relatively larger within it was the renewables value of the funnel, which grew from 1 to approximately 1.5 today. So it's very encouraging to see and our activity continues to increase significantly in that segment.
Josh Pokrzywinski : Got it. That's helpful. And then just following up on CapEx, pretty decent sized kind of especially on a percentage basis, I understand free cash flow is sort of impacted for yourself and for all your peers early around the working capital situation. Just trying to gauge how much of the CapEx cut is just sort of protecting the cash plan versus more of a slowdown. A lot of the talk around growth has been pretty constructive. So just trying to marry those two phenomenon?
Frank Dellaquila : Yes, Josh, no slowdown of any kind of key investments that we're making for both growth and to improve our cost position. There's always room in sustaining CapEx. And given the challenges on the operating cash flow line, we've squeezed down the sustained CapEx. But I can assure you, everything that needs to get done is getting done.
Operator: Our next question comes from Scott Davis with Melis Research.
Scott Davis : We talked a little bit about this Mitsubishi contract that you won on Slide 5. I'm just trying to get a sense of the scope of these types of things in materiality. And I guess it's -- when you say win an automation contract, you mean winning the control side, does it include things like flowmeters and stuff like that? Or perhaps you can kind of address that.
Lal Karsanbhai: Yes. Scott, good morning. Lal here. Absolutely. It's not too similar to an automation scope that we would discuss relative to a traditional carbon-based projects. So that would include control, it includes now the opportunity for AspenTech on the analytics and optimization. But of course, at the core, we have our funnel control elements, which are very relevant here and our sensor elements. So flowmeters, pressure transmitters, level. So it's the full automation scope that we bring to bear. A project like this can be as sizable as high as over $50 million, potentially as we execute it but it has that type of an opportunity.
Scott Davis : Okay. That's helpful. And then just on the conversation of FX, I mean, big changes here in the last few months. And you guys are obviously global. But are we just still mostly talking just translation impacts here and no real competitive dynamics as far as some competitors using currency is a bit of an advantage, et cetera?
Frank Dellaquila : Yes, Scott. Yes, correct. We are really talking about the impact on sales growth and translated profit. We typically don't have a lot of competitive issues around currency, our businesses position themselves defensively around currency and then they very conservatively hedge cash flows where it makes sense to do that. So no, we're not hearing anything from the businesses about being at a competitive disadvantage relative to somebody else's cost base being in a weaker currency.
Operator: Our next question comes from Jeff Sprague with Vertical Research.
Jeffrey Sprague : Well, you've been pretty busy as illuminated in those 5 items you started with to start the call. I wonder if you could just give us a little bit more of a thought process here now and where we're at in the transformation? And maybe specifically, just thinking about what you've called disconnected assets, not expecting to name segments or businesses by name. But how far along are we in that process of taking action on disconnected assets? And how much longer should this process take?
Lal Karsanbhai: Jeff, good to hear from you. No, I think it's a good question. We are on a journey and across all three of the strategic imperatives that I described. And along all three of them, I think we've made significant progress, and I appreciate you recognizing that. In terms of the portfolio, my commitment to our shareholders has been that by the latest on November 29 at our investor conference, we will portray the future state of the business and what we envision to be the end state of this journey. In the meantime, we will continue to look at opportunities and execute along a few dimensions, which I'm not really free to speak about at the moment.
Jeffrey Sprague : And then just maybe on price, and I was just thinking automation, in particular, I think you said 3% price there with 12 in CRS, I back into 2, the question isn't really where it heads if it's 2 or 3. But the question is more just about the ability to get additional price in that business. I certainly understand CRS is where you need it most and some that you've gotten it pretty actively. But is there more positive price momentum coming through the system in Automation Solutions? Maybe a comment on price and orders relative to price and revenues. Could you give us some context there?
Lal Karsanbhai: Yes. I'll give you some -- I'll ask Ram to add some color as well. I feel really, really positive about the price realization in Automation Solutions. And as you know, Jeff, this is almost a decade now within that business segment that we've had positive price. The products and solutions continue to be highly differentiated from a customer perspective. The installed base at over $120 billion is very relevant and that replacement market has significant pricing elasticity in it and drives our ability to take price forward. Having said that, obviously, we have been in an incredible inflationary environment. We will continue to drive price where we can across the product families. But we also have to drive operational improvements so that our customers can realize value from improved activity. But I feel good about the environment we're in and ability to capture the value that's out there. Ram, color?
Ram Krishnan : Yes. And I would add that in terms of price/cost, which includes the wage and freight inflation, that business has always remained green and the magnitude of price we get in that 2% to 3% range. Our list price increases obviously are a lot higher. We realize a percent of the list as we go into the market and execute. That will continue to remain positive in Q4 and certainly into 2023 and well ahead of the net material inflation as well as wage and freight.
Operator: Our next question comes from Julian Mitchell with Barclays.
Julian Mitchell : Maybe just the first question around the free cash flow. So I think with your guidance here around sort of 80% conversion to adjusted net income this year. Maybe help us understand sort of how quickly they get back to 100% in fiscal '23. And as you work down the inventory often that can carry some margin headwind in the P&L. So just wondered kind of any thoughts around that dynamic and also what the contribution of Aspen is to the free cash flow in flow in the current year.
Frank Dellaquila : Okay. Julian, this is Frank. The -- we would expect the balance sheet to normalize. I would hope in the first half of fiscal '23, I mean, we had a big sales quarter in the fourth quarter. we would expect growth when we start to talk about '23, I think we have pretty good robust growth expectations for '23. The inventory is actually in good shape. I have no concerns about what it is we have on the books. It's just simply a matter given all the operational challenges. I would expect to be in better shape on the conversion aspect of it by the middle of fiscal 2023. Margin headwinds do I take a point in terms of having some absorption issues, but I mean the businesses consider those, and I believe those are manageable. So even inside the guide that we have for the balance of this year, there's some of that, but it's more -- it's well considered within the guide in terms of that. It's just something we have to manage as we go through the adjustment on the balance sheet. AspenTech for this year, the 2022 cash flow, there was basically 0 contribution to cash flow in the third quarter, and it will be minimal as well in the fourth quarter, and that is a function of some -- some specific items having to do with the transaction, they had a final short period return as part of the transaction, and they accelerated a significant tax payment, which basically negated the free cash flow that they would have had in their fiscal fourth quarter and their fiscal first quarter is their -- appears to be their lowest quarter of the year on that score, and it also is the normal timing for their incentive comp payments, which basically absorbs much of the free cash flow. So inside of our number is minimal impact from AspenTech on free cash flow.
Julian Mitchell : That's very helpful. And then maybe just following up on Aspen, specifically. So it looks like, to your point, because of some of these one-timers I think Aspen itself is not really earnings accretive in the fourth quarter when we leave aside OSI and SSE earnings. So just wondered if you could confirm that that's the case, how do you think about the... yes?
Frank Dellaquila : No, I'm sorry, Julian, to interrupt. No, it is in fact earnings accretive, I mean it was $0.08 accretive in the third quarter. We've built $0.10 into the guide for the year, which obviously implies it's at least $0.02 accretive in the fourth quarter. So yes, it will be -- it will, in fact, be accretive. I'd point you to on Slide 15. We've got AspenTech operations contributing $0.13 for the year. So -- and then we deduct the interest expense attributable to the debt, and we get to $0.10 net contribution for the year, $0.08 of which we had in the…
Julian Mitchell : That's helpful. And maybe, Frank, just on that point, when we're trying to think about the sort of think about the sort of non-controlling interest, that was a big number in Q3. How do we think about that for Q4, just as that sort of jumping off point for next year?
Colleen Mettler: Julian, we'll follow up with you.
Frank Dellaquila : Yes, let us follow up on that one with Julian, okay.
Operator: Our next question next question comes from Nicole DeBlase with Deutsche Bank.
Nicole DeBlase : Can I just start with a couple of clarification items on the quarter and the guidance? First of the China impact of $100 million, is that completely incremental versus what you guys had expected for 3Q? Or had you expected any impact? And then in the $0.05 of reduction in core operations plus Therm-O Disc, for the full year, how much was Therm-O Disc versus core operations?
Frank Dellaquila : So the -- yes, it was incremental. Those are sales we expected to have in the third quarter when we guided in May, that we lost entirely as a function of the extended lockdown, and that $0.05 is mainly the operational issues around the -- around supply chain. Therm-O Disc is maybe $0.01 or $0.02 of that.
Nicole DeBlase : Okay. Got it. That's clear. And then can we just talk a little bit about what you guys are seeing with respect to oil and gas customers, KOB 3 versus what was the project activity given all the movement we've seen in the oil price recently?
Lal Karsanbhai: Yes. Sure, Nicole. So KOB 3, the quarter set at 62% of automation. So it's been relatively consistent in that 60% range. We expect it to be right in that 60% range as we go through the year. The project activity is very robust and continues to be. We have active engagements across EPCs, particularly Bechtel, who's taken a significant number of the new LNG jobs in Texas and Louisiana, and those are in design phase and engineering phase right now. But again, it is combined with a significant investment in the sustainability efforts as well along emissions, carbon capture and energy efficiency. And then the last one is the North America shale environment is improving, and that's driven by gas demand. It's just very positive. And that's both for U.S. capacity in chemicals and for Mexico as well.
Operator: This concludes our question-and-answer session and conference. Thank you for attending today's presentation. You may now disconnect.